Operator: Good day, ladies and gentlemen and welcome to the Ternium Second Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder this conference call is being recorded. I would now like to turn the call over to Sebastián Marti. You may begin.
Sebastián Marti: Good morning and thank you for joining us today. My name is Sebastián Marti and I am Ternium’s Director of Investor Relations. Ternium issued a press release earlier today, detailing its results for the second quarter of 2013. This call is complementary to that presentation. Joining me today are Ternium’s CEO, Mr. Daniel Novegil; and Ternium’s CFO, Mr. Pablo Brizzio, who will discuss our performance. At the conclusion of our prepared remarks, we will open up the call to your questions. Before we begin, I would like to remind you that this conference call contains forward-looking information and that actual results may vary from those expressed or implied. Factors that could affect results are contained in our filings with the Securities and Exchange Commission and in our press release issued earlier today. With that, I’ll turn the call over to Mr. Novegil.
Daniel Novegil: Thank you, Sebastián and good morning to everyone. Before we proceed to our prepared remarks about the second quarter, I would like to start by quoting and addressing a very unfortunate incident we had – at our Guerrero facility in Mexico, one week ago. I regret to say that this incident has caused 10 fatalities as of today and that three other people continue to receive medical treatment for injuries they suffered during the incident. We are doing everything we can to attend the needs of the victims and their close relatives, our thoughts are with them and we will continue to support them and their families. The investigation we are conducting continues as we speak, but indications are that the explosion may have resulted from an accumulation of gas at the DRI continuous loading area in the steel shop. As you know, we take safety very seriously, we have a longstanding commitment to the highest safety standard at all our facilities and we will continue analyzing the cause of this very unfortunate event. Well, having said that, let me now give you some highlights from our results and other brief issues, I would like to comment before Pablo proceeds with a more detailed kind of discussion on the second quarter and what we are expecting for the third quarter. The second quarter 2013 continues showing an attractive steel shipment level with 2.2 million tons. As we anticipated last quarter, EBITDA remained relatively stable with $370 million in the quarter with no big changes in net-sales neither in operating cost. Let me also comment that we have been quite active lately regarding denouncing unfair trade practices in Colombia, Central America and Mexico. And we have obtained some good results on that respect. For example, the Mexican government enacted last month a preliminary resolution determining an import tariff up to 60% to imports of cold-rolled steel from South Korea. In addition to that, the Mexican government began investigations regarding dilution of import tariff on imports of Russian cold-rolled steel and plate. At the same token in Colombia during this month there was a preliminary resolution regarding Chinese galvanized steel with a minimum price of $825 per ton FOB. We will continue analyzing unfair trade practices in all our markets and related to all the products that we can include and we’ll present this information to the authorities in each market as appropriate. Another field where we have been active is on organic growth, in the last our work of the last two to three years is beginning to bear fruit, as we are proceeding to inaugurate different facilities that will enable Ternium to provide a distinctive and high value added product range. Tenigal has already produced the first hot dip galvanized coil and is right now on final testing with the aim at starting commercial operation in next August. The new cold-rolling mill facility in Mexico is now in hot run testing and the initial stages of cold-rolled production are going to start commercial operation in October starting, with full hard. As I was commenting on the Investor Relation meeting, we did all these commissioning right in budget and in timing. So we are doing very well and we expect to enter into operation as I was depicting. At the same token in Argentina, the new Vacuum Degassing Station have been inaugurated with the presence of the President of Argentina two weeks ago and we’ll begin commercial production in September. On top of that, the new slab caster at Siderar will begin operations in the first quarter 2014 and will be inaugurated at the end of December 2013. So having said that, let me finish with a final word regard Usiminas performance, also as we talked in the Investor Day. Usiminas is showing in the second quarter results that the turnaround process is doing very well, with EBITDA margin of 13.6% in the quarter and 10% ratio in the Steel segment. As we commented in our Investor Day, a month ago, we are very happy and confident that Usiminas management is doing well and working properly in the turnaround of the Company and we expect to continue seeing more of these in the coming quarters. So let me now finalize with this further speech and in order to go ahead with our prepared remarks. So Pablo, please go ahead.
Pablo Brizzio: Thanks, Daniel. Let’s go now to our operating performance in the quarter. As Daniel mentioned, EBITDA during the second quarter 2013 was $370 million, stable compared to the first quarter. The steel shipments remain at 2.2 million tons in the quarter, similar to that in the first one. This is a result of lower shipments in Mexico offset by higher shipments in our Southern Region. In Mexico shipments to industrial customer remain at good level while our construction related shipments are still relatively weak. Steel revenue per ton was also inline with the first quarter, with slightly higher revenue per ton in Mexico partly offset by slightly lower revenue per ton in the Southern Region. Steel prices in Mexico remained stable during the first month of 2013 helped in part by the appreciation of the Mexican Peso to the US dollar. In May, prices in Mexico start to decrease as prices in the U.S. has also done. This dynamic reverted by the end of the second quarter with steel prices recovering in the region led by a balanced inventory level and some restrictions to steel supplies related to maintenance of facilities or other unforeseen stoppages. The Steel segment operating cost per ton was also stable with lower raw material and purchased slab cost offset by higher energy cost and other costs. Due to all these reasons, consolidated EBITDA per ton of steel was $167 in the second quarter, compared to $164 in the first quarter and EBITDA margin remained at the healthy 17%. Net income in the second quarter 2013 was $134 million or a gain of $0.52 per ADS. The results compares with $151 million gain in the first quarter of this year or $0.66 per ADS. Net income was $70 million lower sequentially, mainly due to a $40 million non-recurring income tax charge in the second quarter in connection with the settlement of a claim from the tax Mexican authorities, related to a fiscal year 2004. And a higher effective tax rate due to higher net income from Siderar, our subsidiary in Argentina which has a higher income tax rate than in Mexico. It is also important to mention that during this quarter, we had a $10 million gain from a claim we have to the Mexican tax authority that was included in other operating income. Turning now to our financial performance at the end of June, Ternium continued to show a strong balance sheet with $1.7 billion net debt position, up from $1.5 billion at the end of the first quarter, and equivalent to approximately 1.3 times net debt to last 12 months EBITDA. This reduction was mainly due to the dividend paid during this quarter. Net cash provided by operation activities in the second quarter was $208 million including a decrease in working capital of $71 million. In addition capital expenditures were $290 million higher than the $218 million we recorded in the first quarter of the year. CapEx related to the new cold-rolling facility – the galvanized steel facilities in Mexico and to the new continuous caster in Argentina are the big component of this increased CapEx level. All these projects are expected to conclude during the following quarters as Daniel mentioned. I will finalize these remarks with our outlook for the third quarter 2013 as we stated in our press release issued this morning. The shipments in Ternium main market remain healthy. In Mexico, activity continues at a good pace in industrial sector while the country’s commercial sector which is more closely tied to construction has yet to benefit from increased infrastructure investment. In the Southern Region, the shipment level of the second quarter is expected to continue into the third one. In the third quarter, we are expecting a reduction in operating income, compared to the second quarter 2013, mainly as a result of lower average prices in Argentina and Mexico. Average price in Mexico are expected to decrease mainly due to lower contract prices which are set in accordance to prior quarter price level. All right these were the main issues I wanted to comment. Please operator, we can begin with the Q&A session now. Thanks.
Operator: Thank you. (Operator Instructions) The first question is from Marcos Assumpção of Itaú BBA. Your line is open.
Marcos Assumpção – Itaú BBA: Hi good morning everyone. First question is regarding shipments in Argentina, if you believe that shipments at current levels which are relatively healthy are sustainable over time. And also if you could comment on the volumes that you’re seeing – if you could see increasing volumes from the new investments in Mexico on the CRC and also on the galvanizing line already in 2013 or if you should how much should we consider for 2014? Thank you.
Daniel Novegil: Well the domestic market in Argentina has been doing very well and we foresee that will continue doing very well in the quarter to come. So in the short run – meaning short run the next quarter and maybe the two next quarters, we will be selling in the domestic market around 210,000 tons per month domestic that is close to a record level, all time record level for Siderar. So the market in Argentina is doing well, as I said before, driven by good activity in the automotive sector, as well as in home appliances and construction. Regarding the second part of your question, we are starting operation of our Tenigal line right now and we are in the process of starting up the operation of the cold-rolling mill, starting with full hard in September and we expect to make a ramp up and to go what I was commenting in the Investor Day, to go for a pretty high level of operation as soon as we could in the year to come. So we have orders, where we have been working with the automotive industry in certifying all the products. And so we are – we are pretty confident that we will be doing very well. The demand is there. The production facility is there. The hot run have been doing very well. We are going to be visiting the plant again this same day together with the Board of Directors and so we expect to have a quite proper ramp up.
Marcos Assumpção – Itaú BBA: All right, thank you very much.
Operator:
Ivano Westin – Credit Suisse: Hello everyone. Thanks for the call and for the question. I'd just like to understand your expectations specifically for quarter three, but also quarter four, in terms of price for Argentina, South and Central America, after your comments on potential import tariff hikes and on the second question, I’d like you to comment please on your cash cost on slabs on your own production compared to the purchase cost you get from third-party in Mexico and still on this given the latest decision of other bidders, if there is any possibility at all for you to rejoin the bid process of this CSA or if it is already over as you mentioned before? Thank you.
Daniel Novegil: All right, so let me start with the first part of your question on pricing, as you know in the case of Mexico we follow the pricing system of the U.S. that is recovering the U.S. is recovering based upon a strong demand and a recovery in the construction and retail business, so we expect to continue following up the decent recovery in the U.S. domestic price in Mexico. And with respect to Argentina, as you also know, the price of Argentina is also following the international pricing system with less volatility and with a more kind of – even kind of evolution. So we see prices recovering in the quarters to come, followed by recovery in the demand in the U.S. as well as strong demand still from China. Regarding the second part of your question on slabs, we are still enjoying a quite good gap between finished products and against slab cost. And we are enjoying now a situation where we can supply, we can supply the demand, the slabs that we need from different sources at quite convenient prices. So we expect this situation to continue in the short turn, we don't see any important changes in that regard. Regarding the CSA issue, we are not planning to review anything regarding CSA at this moment the reason for us abandon negotiations as I was explaining in different locations is because we have different value perceptions and because of the industry situation and nothing changed. And so I wouldn't like to speculate on this respect because there are no changes and we are still in the same position as we were when having the Investor Day no changes, we are not participating in CSA.
Ivano Westin – Credit Suisse: Okay, very clear. Thank you very much.
Daniel Novegil: Thank you.
Operator: Thank you. The next question is from Carlos De Alba of Morgan Stanley. Your line is open.
Carlos De Alba – Morgan Stanley: Thank you very much Daniel, Pablo and Sebastián. So my first question is if you can just tell us if you expect any impact in terms of volumes or production from the sad accident in Mexico or if you have enough inventories and that would allow you to keep supplying customers while you fix the – or you repair the plant. The second question is if you could comment about the CapEx expectations for the second half of 2013 and 2014, if there is any changes to your prior guidance. And then finally maybe Pablo I missed a little bit the comment that you mentioned on what is in the other operating income in this quarter I think that was also sort of a non-recurrent item but I would like to double to confirm with you. Thank you.
Daniel Novegil: All right. So and let me start with the incident in our Guerrero facility in Monterrey with – some quotes on what happened there. The main cost of this incident was the human loss, which is invaluable; I mean it’s impossible to recover easily from an impact like this in the human factor. Second, damage to essential equipment was not important. There was no damage at all to core equipment. The incident happened in an area that is isolated from the reactors and so that is the way it was. We expect to be in a position to recover full production in the weeks to come. We have started operation in the [Danieli] furnace and in a couple of days of maybe a week or less than that. We expect to be working again back with the two furnaces together and to recover capacity at full. We anticipate a production loss, all-in-all of around $70,000 tons, I would say. To be precise, we are replacing lost production in the steel shop with finished products coming from the Churubusco plant. I mean the non-integrated rolling mills, we’re rolling slabs. So we are not expecting material impact to customer shipments. In the outlook that we are presenting for the – presenting to the next quarter, it has been already considered some impact of this incident obviously only to the extent of impact that we can currently anticipate that as I said before, from a shipment standpoint it’s not significant, so that's the way it was regarding the incident. On CapEx, I will pass this to Pablo Brizzio please. Pablo, could you quote on CapEx.
Pablo Brizzio: Sure.
Daniel Novegil: And the last part of the question as well.
Pablo Brizzio: Sure. No problem. Good morning Carlos, the question regarding CapEx is as follows; up to the second quarter including the, first semester we invested already $500 million. And as you know our expected CapEx for the year is $800 million. So as we are expecting after the conclusion of part of this investment the CapEx level should reduce coming to the second semester. So we are expecting a reduction in the level from $500 million to $300 million in the year to come, we should further reduce this level of CapEx and as you know without any new CapEx plan developed at the moment – this should be the situation. So a reduction in the second semester, a total reduction in the year 2014, if we are not developing any new additional plants. Regarding to the other question that you make, we have two issues that I commented during my initial remarks. The first one was a settlement that we had with the tax authority regarding a claim that the authorities made to one operation that was performing 2004 prior to our entrance in the Company. And at the very end, we settled that and the economic impact is $14 million. This is included in the income tax line. The other one that I mentioned, which is also related to tax issues is a recovery or a gain that we have in a different claim that we have with the tax authority that at the very end was recognized and we have an income of $10 million related to that.
Carlos De Alba – Morgan Stanley: All right, thank you. Just a follow-up, do you have already an estimate of how much will it cost to repair the equipment that was damaged in the incident. I know that Daniel mentioned no – core equipment wasn't affected. But do you have already an estimate of how much money you need to spend to bring all the damaged equipment back online?
Pablo Brizzio: We are in the process of assessing all the area. I could comment that will not be significant. I do not have any specific full estimation, but I would say that it’s below $3 million.
Carlos De Alba – Morgan Stanley: All right, thank you very much.
Pablo Brizzio: Thank you.
Operator: Thank you. The next question is from Karel Luketic of Merrill Lynch. Your line is open.
Karel Luketic – Merrill Lynch: Hi, good morning everyone. Thank you for the questions. Most of my questions have been asked. But if you could just – a quick follow-up, you had mentioned you expected higher slabs costs to impact the third quarter. Do you still expect that and how should we expect costs towards the end of the year? Thank you.
Pablo Brizzio: Hi, Karel how are you? This is Pablo speaking. Yes we know that due to our way of our numbers due to first in, first out methodology we are having a lag on the cost that we are reflecting on slabs. We are expecting an increase on the cost of slabs for the third quarter and depending on how the price dynamic moves into the fourth quarter. This could be sustained also for the fourth quarter. We as you know this is something that will be impacted from the slab that we already buy, so that we already know how this will evolve into the following quarter. That's why we are stating that so we are expecting an increase on the price slabs from very low levels that we have in the prior quarter, to this level that we are expecting higher in the third and the fourth quarters.
Karel Luketic – Merrill Lynch: That's great. Thank you.
Pablo Brizzio: Welcome.
Operator: Thank you. The next question is from Leonardo Correa of HSBC. Your line is open.
Leonardo Correa – HSBC: Hello good morning everyone. So my first question for you Daniel and Pablo just to get a little bit more visibility on the third quarter numbers, I mean you’re guiding for a declining EBITDA per ton, but just to try to reconcile your numbers in the outlook, I mean if we think about the U.S. steel pricing outlook now for the third quarter I mean as you mentioned steel prices have been rising. So I just wanted to understand exactly I mean the proportion, if you can remind us the proportion between spot and contract sales that you have in Mexico and the U.S. that will be very helpful. Just so we can understand why EBITDA per ton is not rising in the third quarter? So that's my first question. The second one if you can also help us out just to understand the level of EBITDA per ton going into 2014. The company has been in a range for the past quarter of about roughly $150 to $170 per ton. You had several projects in cold-rolled coil and Tenigal and some projects in Argentina which will definitely improve the overall product mix and profitability. So I just wanted to understand if you can expect something around $200 per ton into 2014 and 2015 if that number make sense to you? Thank you; those are the two questions.
Pablo Brizzio: Okay Leonardo, let me start by your question on the second one – the second one of your question. We as you know we always work with a range in which we would like to move of above 15% EBITDA margin or $150 per ton EBITDA generation, we have been working very well at the level of 17% EBITDA and margin in the first two quarter or around $165 per ton in these two first quarter. Of course everything that we do is to try to improve this level we are not expecting to arrive to the number that you are mentioning in the coming quarters or entering into 2014 since we have to do our ramp up work and of course this is much dependent also in pricing. So if you ask us today if this is something that we are seeing in the coming or at the beginning of 2014 it’s not the levels that we are working with. We are expecting to sustain and if possible to improve what we have today but you know that there is some volatility in the numbers so a range that we always work is above 15% EBITDA margin. We have been doing very well, during these two quarters and this is something that we will try to keep. Regarding your first question it is very important to mention it because probably it's not direct the analysis because we are seeing prices increase in the U.S. during the last month especially and this should be reflected in our numbers. The range of contract prices or contracts that we have with settled price in the Mexican market is between 30% and 40% of our total shipments.
Leonardo Correa – HSBC: Okay, perfect, Pablo. Thank you.
Pablo Brizzio: You're welcome.
Operator: Thank you. (Operator Instructions) The next question is from Alex Hacking of Citi. Your line is open.
Alex Hacking – Citi : Thank you. Good morning everyone. In fact all of my questions have already been answered. But I guess while I’m on the line, let me express my sincere condolences for the loss of your colleagues. Thanks bye.
Daniel Novegil: We do appreciate thanks a lot, you are welcome.
Operator: Thank you. We have a follow-up question from Marcos Assumpção. Your line is open.
Marcos Assumpção – Itau BBA: Okay, two follow-up questions quickly. We saw the operating income in the first half very similar to the first half of 2012, can you comment and also the guidance for the third quarter is similar to the guidance that you had in the third quarter of 2012 as well lower steel prices in Mexico and North America. Can we expect given that, that you will have a very similar second half EBITDA or operating income in the second half of 2013, versus the second half of 2012? And the last question is, if you still – you mentioned the improving results from Usiminas. But last year in the fourth quarter, there was a write-off on the Usiminas investment. Do you expect anything on that front as well in the fourth quarter of this year? Thank you.
Daniel Novegil: Let me quote on the first part of your question. As you know, this is a combination of different factors that are impacting our EBITDA levels. On one hand, the pricing system, we have the recovery in the U.S. and also some volatility in the market given the excess capacity that we do have in the steel landscape on one hand. On the other hand, we are still working in the initiatives that I was commenting in the Investor Day regarding productivity, efficiency, cost reductions, white collars streamlining and so on and so forth. On top of that, we are undertaking no initiatives in order to improve our EBITDA level to compensate. The volatility in the marketplace like for example we are drawing a new working capital draw in order to adjust the working capital as fast as we could. The second, we are drawing also a logistic map to save money in logistics, we are having in the system a logistic cost of around $100 million and we have room there to work and to reduce these costs, if we work harder we continue pressing in this part of the cost. And also we are streamlining the subcontractors space with a new program that we are now undertaking and launching at the level of the whole company. So different factors impacting one – some factors pushing down EBITDA, some factors improving the EBITDA level as you know we are expecting the second part of the year a little bit below, but not that much I mean we expect that’s going to be pretty aligned with the first and second quarter. Regarding Usiminas, as I was mentioning, we are working hard on the shareholder base together with our partners there that is as you know is [Nippon Steel] and we are getting along properly and we are working together and we are pretty confident both of us that the management is doing well. And this is reflected in some numbers like for example the 16% recovery in domestic shipments, the domestic shipments of the second quarter 2013 went up 16% in comparison with the first quarter also the adjusted EBITDA went up 41% in the second quarter as compared with the first quarter. The EBITDA margin in the steel business is the highest in 33 months in two digits for the first time in a long period of time. The EBITDA margin of – the total EBITDA margin is the best in Usiminas in the last 30 months. The net debt went down quarter-to-quarter in 9%. So the process is ongoing. It is a working process kind of situation; where the management, we consider is doing well and getting result and we expect that this turnaround and breakthrough process will get the results that we have been expected.
Marcos Assumpção – Itau BBA: All right, thank you very much, Daniel.
Daniel Novegil: Thank you.
Operator: Thank you. And the next question comes from Carlos De Alba. Your line is open.
Carlos De Alba – Morgan Stanley: Yes, thank you for having me again. Just on SG&A we saw a little bit of an increase in the quarter numbers to almost $216 million that is 10%, 10.1% of net sales, so a little bit higher than what you have been reporting lately and it is said in the report this is mainly due to higher taxes and contributions that you had at least relative to the second quarter of last year. So my question is do you expect these higher taxes and contributions to continue going forward and if around $215 million or 10% of net sales is a number that we should work with in the future.
Pablo Brizzio: Okay, Carlos yes, the number in SG&A was a little higher than expected and we are expecting to reduce a little bit that number, it was an important increase compared to last quarter due to very specific issues, some of them that will be recurrent, some of them that will be not, but we should start to see some reduction on these number also take into consideration what Daniel has just comment in the plans that we implement in order to keep working on cost reduction programs.
Carlos De Alba – Morgan Stanley: All right and then just final
Daniel Novegil: All in all, I would say that we can expect EBITDA levels that are quite high compared with peers, I mean we are in the range of 15% to 17% – 16% is an average and I would say that if compared – these numbers compared no doubt among the highest being there in the industry and we expect to continue having these rates of EBITDA ranges. So all in all when you put all together, in this cocktail of pricing costs, slab supply and new initiatives, cost reductions and streamlining and that and this and the other, we will – I expect that we will continue doing quite well, especially taking into consideration the comparison against peers and competitors. And also we have to take into consideration that we are undertaking new initiatives in different field. We are starting operation if an important facility, we are going to new markets, like the high end market that will give us a payback to the investment that we were doing in our facilities. We are also as I was mentioning in my initial remarks we are having good results in the institutional side in pushing to the markets some unfair trade practices from some competitors. So it’s when you ask about performance in terms of EBITDA it is a quite – sometimes it is difficult to see all the effects, they are positive, they are negative, I guess that we will continue doing very well especially when as I said before when we compare against competitors.
Carlos De Alba – Morgan Stanley: Fair enough. Thank you very much gentlemen.
Operator: Thank you. There are no further questions at this time. I’ll turn the call back over to Pablo Brizzio for closing remarks.
Pablo Brizzio: Okay. Thank you again for your interest in Ternium and for your time today. We look forward to remain in touch with you and as always please contact us if you have any additional questions. Thanks a lot. Bye-bye.
Sebastián Marti: Going back to my initial remarks, I would say that we are very sorrow about the situation of the incident in Mexico and we expect to recover and to diminish as soon as we can the impact in our people, especially in those that had injuries or had fatalities. So we are really very sad with this situation and we expect to recover in quick time. All right.
Pablo Brizzio: Thank you.
Daniel Novegil: Thank you very much.
Pablo Brizzio: Bye, bye.
Operator: Thank you. Ladies and gentlemen, this concludes today’s program. You may now disconnect. Good day.